Operator: Good morning, and welcome to the TravelCenters Third Quarter 2017 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Katie Strohacker, Senior Director of Investor Relations. Please go ahead.
Katie Strohacker: Thank you, and good morning, everyone. Thanks for joining us. We'll begin today's call with remarks from our Chief Executive Officer, Tom O'Brien, followed by remarks from our Chief Financial Officer, Andy Rebholz, before opening up the call for questions from analysts. Today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and federal securities laws. These forward-looking statements are based on TA's present beliefs and expectations as of today, November 7, 2017. Forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no obligation to revise or publicly release any revision to the forward-looking statements made today other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the Securities and Exchange Commission that are available free of charge at the SEC's website, www.sec.gov, or by referring to the Investor Relations section of TA's website at www.ta-petro.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. Just a reminder, the recording and retransmission of today's conference call is prohibited without the prior written consent of TA. And with that, I'll turn the call over to you, Tom.
Tom O'Brien: Thank you, Katie. This morning we released our third quarter 2017 results. And as you may have seen in the release, I’d like to talk about three unusual items that were in there that made up most of our $62.4 million net income result that weren't reflected in the 2016 third quarter result. Just get those out of the way. One, we recognized a one-time non-cash income tax benefit of $58.6 million related to the resolution of previously uncertain tax positions that were resolved during the third quarter. Two, we reversed $4.6 million of site level operating expense related to excess transaction fees withheld by a fuel card transaction processor, Comdata, for periods prior to the third quarter, due to a favorable legal ruling by the Delaware Court of Chancery. You should note that we were also entitled to legal fees by that court. But under GAAP, we've not made any related reversals or litigation expenses, which through the end of the third quarter totaled approximately $10 million. And three, we recorded a non-cash impairment charge of $4 million, included in depreciation and amortization and related to a few convenience store locations that we've previously mentioned which were negatively impacted by increased competition in their local markets subsequent to our acquisition of them. On to third quarter EBITDA, it was $44.3 million or 6% below EBITDA for the third quarter of 2016, due primarily to a $5 million decline in fuel gross margin, which I'll talk more about in a moment. I do believe our net income and our EBITDA results reflect many positives from our continued efforts on fuel and non-fuel programs. Total fuel sales volume was down 2.1% in the third quarter of 2017. And same site fuel sales volume decreased by slightly more, 2.6% compared to the same period in 2016. I believe the vast majority of this decline is attributable to fuel efficiency gains, which we've talked about in the past. There was little impact on volume from hurricane activity and we believe some temporary declines in volume in certain states that had large fuel tax increases implemented at the beginning of the third quarter 2017. Our fuel gross margin per gallon performance was strong. For the third quarter 2017, we earned $0.189 per fuel gallons or about $0.005 less than the $0.194 earned in the third quarter 2016. Remember the 2016 period included benefits associated with the federal biodiesel fuel tax credit program that has not been in effect since year end 2016, and which we estimate contributed about $0.01 per gallon in the 2016 third quarter. In addition, we experienced an increasing trend in diesel fuel prices during the 2017quarter, versus a declining to flat trend during the 2016 quarter. Given those hurdles, I think we achieved a lot, coming within a $0.005 of last year's result, largely due to our fuel purchasing and sales strategies. The story on nonfuel sales and margin is that they both increased slightly overall due to the continued ramp up attributable to sites recently acquired, but declined modestly on a same site basis. The same site nonfuel revenue decline can be attributed primarily to a number of full service restaurants that we closed for conversion to quick service restaurants. Excluding that impact, non-fuel revenue would have grown modestly versus 2016. I'll cover in a moment why we believe we're on track to accelerate overall nonfuel results from here. I think what you're now seeing is growing pains associated with repricing our tires as competitively as possible and the build out of longer term strategies to expand TA’s addressable market opportunities. In the near term, including the third quarter 2017, these growing pains, if you will, were largely alleviated by demonstrated cost control. Excluding the benefit of the non-recurring excess transaction fee reversal, our site level operating expenses in the third quarter 2017 still declined $3.5 million or 1.4% year over year. And again, on a same site basis, as our elimination of redundant billboard advertising, among other things is reducing expense. We believe that our cost savings efforts in total during the third quarter positively affected pretax income and EBITDA by about $5 million. So as I said, we've got a nonfuel strategy that I think works in the short term and in the long term. I just touched on the short term bit. Basically we’ve offset plan slower growth in nonfuel revenue with cost control. In the longer term, and frankly this is the more interesting bit, first, our retail strategy, we've over the past 24 months, converted the food branding in over 15% of our Travel Centers. We believe the brands we've added, not only increase the variety of food options available to our trucking customers, but also have greater potential to draw local customers. Meanwhile, changes in consumer preferences, particularly those related to fresh foods, are reshaping the C-store business. We think our experience and our abilities with restaurants provides us with advantages in that regard, while the redress of our truck stop travel stores as Minit Marts, will also provide opportunity for additional customer draw. Second, and we believe is a much more significant undertaking, both in terms of effort and the potential for improved results, is our commercial strategy. In 2017, we quietly re-streamed our business groups to consolidate them into only two, retail, which I just talked about and commercial, which is the combination of fuel and truck service. Now, many times in the past, I’ve talked about our commercial tire business largely reinvented in late 2016. Our onsite mobile maintenance business and our road squad emergency breakdown service, all three of these as examples of internal growth initiatives. But these are also pieces of a larger strategic transformation taking place in our business, and our approach, and I think they will lead, not only to long term growth, but may also be the answer to fuel efficiency headwinds that we've been talking about for quite some time. While it’s important - what is important about each of these examples is present in our expanded sales staff and it's inherent in our quiet divisional streamlining, they all position TA to address a larger potential market going forward. In some, our growth plan is one, we think that the customers we serve today are but a small percentage of the market that we have the ability to address. We believe we can expand that percentage with a combination of increases in investments, in sales efforts and the expansion of the ways in which customers can do business with us, all of which are underway. And two, we think that the customers we serve today have historically purchased a narrow set of maintenance products and services from us, and then our expanded abilities, whether they be through the call center or commercial tire delivery, our onsite offer, those expanded abilities should provide us opportunities to capture more of our existing customer spending in a way that ends up being beneficial to them and to us. Let me put this in a little bit of perspective. There’s about 30, 32 million trucks in the United States, depending on whose numbers you believe. About 3.5 million of those are class eight or 18 wheeler vehicles. And of those 3.5 million, only some of them are long haul, which is our historical target customer. But some are less than truckload. Some are for hire over the road. Some are private fleets. In other words, only a very small portion of that 32 million trucks in service in the United States have been the target of our offer in the past. Again, historically we presented really only the long haul trucker with the advantages of our large sites, which give us the ability to present more services than our competition has ever mustered, and of a nationwide network which gives us the ability to present these services across the country. In other words, I think we're in a position to offer more to our traditional customers and we continue to do that. But all of our strategies in the past year or so, also positioned us to make an attractive offer to new customers. Our mobile onsite group is expanding as demand grows for service at our customers’ yards and terminals, whether it be for DOT inspections, equipment installations or tire service, and whether it be for companies, like some of our traditional long haul for hire customers or non-traditional customers like vehicle auction houses, fleet finance companies, private fleet dealers, specialty vehicle outfitters. We've even done work for some railroad companies and there are myriads of companies that use trucks to conduct business all across America, which we think we can address. That’s what we've been doing. We’ve had some early success and I think there’s great potential, but the undertaking isn't easy. Our traditional business, our customers know who we are. With those customers, we - with nontraditional customers, sometimes we have to explain who we are, why we're qualified. Those new customers, they simply don't know us nearly as well as long haul truckers, and the introduction can be time consuming, but I believe it'll be worth it. New customers find out our nationwide offer and our ability to offer not just maintenance but fuel as well, can be very attractive. Again, some metrics. Tire unit sales in the third quarter, up 7%. Call volume at our national call center is up 17%. And onsite work order count is up 16% in the 2017 third quarter. It’s up to us now to overcome the growing pains and to have these positives impact our bottom line in a positive way. I believe we're going to be able to do that. And with that, I’ll turn the call over to Andy Rebholz, our Chief Financial Officer.
Andrew Rebholz: Thank you, Tom, and good morning everybody. We reported net income attributable to common shareholders for the 2017 third quarter of $62.3 million or $1.58 per share. This compares to net income of $10.9 million or $0.28 per share in the third quarter of 2016. Three unusual items Tom spoke about previously and that are included in our third quarter 2017 net income, resulted in an after tax income effect of $1.49 per share. Our EBITDA in the 2017 third quarter of $44.3 million, declined $2.9 million compared to the year ago quarter. For the 2017 third quarter vs the 2016 third quarter, fuel gross margin declined $5 million or 4.6% to $105 million, while fuel gross margin on a per gallon basis decreased 0.5% to $0.189. Both decreases were primarily caused by the negative effects of the federal biodiesel fuel tax credit program that was available in 2016, but has not been available in 2017, and the increasing fuel cost trend during the 2017 third quarter, versus the declining to flat fuel cost trend during the 2016 third quarter. Both partially offset by the positive impact of TA’s purchasing and sales strategies. The decline in fuel sales volume of 2.1% for the third quarter, primarily resulted from continued fuel efficiency gains, especially by TA's commercial diesel fuel customers. Non-fuel revenues increased $5.3 million, or 1% from the 2016 third quarter. Sites acquired and developed since the beginning of the 2016 third quarter, generated an incremental $7 million, while same site nonfuel revenues declined $1.7 million. The decrease on a same site basis was primarily due to the lost sales during the planned conversions of certain restaurants to quick service restaurants, as well as the planned reduction in unit sale prices for tires as part of our commercial tire program. As expected, the tire unit sales volume, which has increased 6.9% in the third quarter, continues to ramp up. And this initiative, in conjunction with our other truck service programs, contributed to increased truck service revenue and gross margin in the third quarter 2017 versus 2016. Total gross margin for the third quarter of 2017 decreased by $623,000 or was essentially flat from the third quarter of 2016 due to a $5 million or 4.6% decrease in fuel gross margin and a $4.7 million or 1.7% increase in non-fuel gross margin. Site level operating expenses in the third quarter decreased by $3.4 million or 1.4% from the prior year quarter, primarily due to a one-time expense reduction of $4.6 million to recognize a receivable for excess transaction fees TA expensed prior to the third quarter that it now expects to recover from Comdata, and various cost savings initiatives, partially offset by a $4.6 million dollar increase in site level operating expenses from sites acquired and developed since the beginning of the 2016 third quarter. On a same site basis, site level operating expenses were down 3.2% versus the prior year quarter. And as a percentage of nonfuel revenues, by 150 basis points versus the prior year. Our selling, general and administrative expenses for the third quarter increased by $1.8 million or 5.1%. This amount includes $312,000 of litigation costs related to our dispute with Comdata. Our rent expense increased $3 million compared to the 2016 third quarter, primarily from our sale to, and lease back from, Hospitality Properties Trust since the beginning of the 2016 third quarter of two Travel Centers and improvements at least sites. Our third quarter 2017 depreciation and amortization expense was $30.7 million, an increase of $2.1 million when you compare to the second quarters D&A expense, and includes the $4 million non-cash impairment charge Tom discussed earlier. In our Travel Center segment, site level gross margin in excess of site level operating expenses for the 2017 third quarter was $134.1 million, an increase of $2.2 million or 1.7% from the 2016 third quarter, resulting primarily from the $4.6 million reversal of excess transaction fees and a $3.4 million increase in non-fuel gross margin. These increases were partially offset by a $6.8 million decrease in fuel gross margin. In our convenience store segment, site level gross margin in excess of site level operating expenses for the 2017 third quarter was $13.8 million, which is a 12.3% improvement over the 2016 third quarter, due to a $1.6 million increase in fuel gross margin and an $823,000 increase in non-fuel gross margin. These increases were partially offset by an $885,000 increase in site level operating expenses. More specifically with regard to the operations at our standalone convenient stores, most of which have been recently acquired, site level gross margin in excess of site level operating expenses in the 2017 third quarter, increased by $1.5 million or 12.3% over the same period of 2016. Our merchandising strategies have been focused on maximizing margin at our convenience stores and deploying popular regional items. And in many cases, branded food strategies to combat some of the competitive pressures faced in a few markets. Our operating cost strategies and many of our recently completed improvements, are benefiting these site operating results as well, particularly early in the fourth quarter. I think that the continued integration of certain of the branded gasoline loyalty program systems with our own, and the implementation of improved loyalty and mobile app programs for our Minit Mart brand, should have a positive impact going forward. It has taken longer than I anticipated for these locations to stabilize, but I am confident that for the most part, that will come. The $58.6 million income tax benefit we recognized in the third quarter of 2017, was a significant factor in our net income for the 2017 third quarter. All the detail can be read in the tax footnote in our financial statements in our 2016 Form 10-K and the third quarter form 10-Q to be filed. But in summary, TA had a significant amount of net operating loss and tax credit carryforwards that originated in tax positions taken in the federal tax returns in the years 2007 through 2013. From a GAAP accounting perspective, these tax positions were considered to be uncertain. And so TA had not been able to recognize the benefits of those tax positions in its income tax provisions in past years. With the passage of times, those uncertainties have now been resolved. And so TA can recognize those tax attributes in its balance sheet, with the one-time non-cash $58.6 million benefit flowing through the income statement this quarter. I would also like to touch on the accounting for certain amounts involved in our litigation with Comdata. As we've previously disclosed, we now have a favorable ruling from the court, which has resulted in a return to our agreed upon transaction fee pricing pursuant to our contract with Comdata. You heard Tom say earlier, we reversed the previously expensed excess transaction fees. The court also concluded that TA is entitled to its attorney fees and costs. There is a legal process to complete in order to determine an amount. And accordingly, we have yet to recognize any expense reduction related to the recovery of the litigation costs. We're hopeful this will be resolved by some time in the first quarter of 2018. During the third quarter of 2017, we invested $30.4 million in capital expenditures as compared to $85.8 million in the third quarter of 2016. Proceeds from asset sales, primarily to TA and to HPT in both periods, totaled $12.5 million this quarter, compared to $36.9 million in the third quarter of last year. In summary, overall our operations performed well in both business segments and we exercised good site level cost control and modest spending. We continue to ramp recently acquired sites and are positioning our non-fuel programs to be able to provide more value to our existing customers and so that we may attract new customers. We believe there is a significant potential going forward as our investments and strategies continue to progress, and we believe we have positioned our business for success in the long term. And with that, I'll turn the call over to the operator for questions.
Operator: [Operator Instructions] our first question comes from Alvin Concepcion of Citi. Please go ahead.
Alvin Concepcion: Thanks for taking my question. I heard you mention you hope to mitigate the fuel volume losses with non-fuel sales cost control, your C-stores. Assuming all else is equal, namely the fuel gross margin, assuming everything is equal, at what point in time do you see these items fully offsetting those pressures in fuel volumes? Just wondering your level of confidence in that. And also, it's a tough food environment. So just wondering if you could give some more color on when you think back end start to pay off.
TomO'Brien: Yes. Let me address the last bit first. This is Tom. The impact we've seen on food, I think that to a large extent, what we are seeing in terms of negatives is on the revenue line. And basically what we're doing is rebranding lower volume restaurants with brands that provide variety for our existing drive - truck driver customers, and to have more of a draw for local business, to the extent there is local business. And we select those very specifically in order that - you get at the greatest restaurant band in the middle of nowhere, it’s not going to really help you draw more customers if there aren't a lot of rooftops around for example. So that's like one of the criteria that we look at. And I think that the bottom line, meaning the margin net of the operating expenses at those particular locations, has actually been positive. And I expect that will continue as these locations - and we do about - we’ve done about 15 or 20 a year in the last two years. As those really start to take hold and hit their stride and get past the training period and the introductory period. So I think that has had a negative impact on revenue, but a positive impact on the net. As to offsetting the potential for decline in fuel volume with non-fuel programs, again I think you're seeing that already. I think that if you step back from the third quarter here, what we've seen that can be pointed to as a negative is all in fuel margin. That $5 million decline in fuel margin represents, if you will, the remaining negative in that third quarter result. I do think that on the nonfuel side, we've made up a lot of that ground. And in this last, call it three or four quarters, we've - we haven't made up as much as I think we will once the growing pains are through. And when I say growing pains, what I mean is to build a longer term strategy, we’ve done a lot of things which I've described that have added costs, personnel in - they expect to be paid from day one, and it takes them a while to get the customers going. So I think there’ll be - I think we are already offsetting that. and I think that going forward, now is the time for us to start to lift, if you will, the bottom line away from sort of just running in place and offsetting the increased cost. Look, there's no difference between what we're doing and what every other C-store company is doing, except that I think our strategy has a couple of differences. First, a very, very large portion of our business is diesel fuel and you might argue that fuel conservation is likely to impact demand for diesel before it'll impact the demand for gasoline, simply because one's business to business and the other is business to consumer. That's going to be offset a little bit by growth in demand from the strength, if you will, or the growth in the economy. So that's one offset, but the big offset is unlike other C-store companies, and basically if you're in the C-store business, your strategy is to have the best mix of products to appeal to changing consumer preferences. And that's the business in a nutshell, and whether that means energy drinks or craft beer or what have you, that's what everybody's trying to do. The other difference that you see in TA is a very large business called truck service. And in the past, what I tried to express here is we have brought that to bear on a very tiny segment of the addressable market. And in the past year, we've positioned ourselves to expand that reach. That's where I think the real growth in non-fuel is going. It’s not that we're ignoring C-stores. It’s not that we're not aware that casual dining is perhaps not the fastest growth area in the US economy today. And I say that tongue in cheek. We’re dealing with those things as needs be, but really positioning ourselves to expand not just the customers, the number of customers and the types of customers, but also to expand the menu of things that we can offer to existing customers. In other words, we want to gain new customers with the services that we provide, and we want to address the larger portion of the spend for existing customers, because we think there's benefits to both of us.
Alvin Concepcion: Got it. Thank you for all that color. And you talked a little bit about benefiting after you get past your growing pains. I think you cycle a lot of those growing pains into next year. So would you expect net income to be a positive number in 2018, excluding volatility in fuel margins? The reason I ask is because EPS, excluding the unusual items, is down about 70% year over year this quarter. So I imagine easy comparison should help you next year and presumably you grow from that level, but should we see this upcoming year be a positive one?
TomO'Brien: Well, we don't provide guidance, but I will tell you that growth in the bottom line and in measures like EBITDA are - those are the things that we are focused on. There is a little bit of a difference, and I'm sure you'll take into account, between the TA of today and the TA of three years ago and that we actually own more real estate these days than we did three years ago, and that impacts depreciation expense. And so there may be a ding that - I don't want to call it permanent, but has lowered the bar on net income a little bit because of that. But again, that's a non-cash item. I think the biggest issue quarter we've had in 2017 was the first quarter. And I think the second and third quarters has shown that we've gotten through that. So without making a prediction, I can’t tell you that our goals are increases in those bottom line measures. And I don't see any reason why we can't achieve those goals.
Alvin Concepcion: Got it. Last one for me. Can you talk about the changes you've seen in the competitive environment? Your largest competitors just got backing from a very high profile investor. So wondering if you expect to see a change in how they approach the market, or have you seen one already?
TomO'Brien: We haven't seen much. In fact, we've been pretty successful in our own approach to the market in a number of cases. I haven't seen a change. I don't expect a change, but it's not like we're - we continue to be alert, but nothing yet.
Alvin Concepcion: Got it. Thank you very much.
Operator: Our next question is from Bryan Maher with F - or excuse me, B. Riley FBR. Please go ahead.
Bryan Maher: Good morning guys. You made a comment that you didn't see any hurricane impact. Is it you didn't see anything that was material enough to really comment on or you just didn't see anything at all?
TomO'Brien: Really both. I mean we don't have terrible - a very large concentration in any of the hurricane impacted areas. We did have a handful of sites in Texas close for a couple of days. A few sites closed really overnight in Florida. Some individual site issues that lingered for a few days. But by and large, I think the - sort of the run up in business in anticipation of the hurricanes, and perhaps some of the impacts afterwards, there was no discernible impact on the bottom line. And we didn't suffer very much damage at all with less than $0.25 million of repairs and things that were necessary. I think it's just a function of having a diversified portfolio, being in as many locations as we are, and not having a particular concentration in any of those areas. So again, to answer your question is both. We didn't see anything and other than anecdotes for a day here or there, that didn't really amount to much.
Bryan Maher: Would you suspect though that with the rebuildings in Houston area and south Florida, that it could be a little bit of a tail to an increase in business in those markets for the next six to 12 months?
TomO'Brien: Yes, in those markets, I think in particular on the flatbed business, there should be a pickup in demand.
Bryan Maher: And then as it relates to your conversion of some of the full service restaurants to QSRs, how do you think that the truckers view that? Do they care? Do they miss the sit down, full service versus the QSR? Have you queried them? What are your thoughts there?
TomO'Brien: Yes. I think that we're doing - what we're doing in a very measured way, meaning we're balancing - it's not just a shutdown of full service restaurants. In some cases, it's a transfer or a rebranding of full service restaurants into better full service restaurant that add more variety, right? So going from a Country Pride to a Fuddruckers, or we opened the Bob Evans last year. Or there's a brand out in the west coast called Black Bear, which is very positively received. I think that any kind of change, you’re always going to get a little bit of complaining. But by and large, it's been mostly positive. I feel pretty good about what we're doing there. We’re also - some of the impact on the revenue that you’ve seen is, we're in the process of reopening some of those locations, one of which is going to be a Quaker Steak & Lube Express, which is obviously a brand that we own and again, providing variety and a little bit of additional customer draw. So it is - that is a tough business, right? The casual dining business is not easy for anybody. Just look around at all the closures and bad things that are happening in that space. But it's one that I think that - we want to address a larger market, which we never have. And we have a base of customers which we've always had. So we have the ability I think to please the majority of the existing customers and draw some new customers. And I don't think that other - that the companies that are in the casual dining business, generally have that same mix. So I'm pretty - I'm a little bit more positive on our prospects than it would be if that's all we did.
Bryan Maher: Right. And then in markets where you are changing from a pull service to a quick service, should we expect to see better margins coming out of those sites?
TomO'Brien: On the - the measure that's relevant is gross margin less operating expenses. And quick service has better metrics there. And it tends to have lower gross margin percentages, but much lower labor. So net-net, at the bottom line, those have been and should continue to be better than the things that they've replaced.
Bryan Maher: And then lastly for me, when it comes to your improvements that you then sell to HPT, is it safe to say that those are like slowing down, mitigating somewhat? And can you talk a little bit about what exactly you're doing in those properties that you're selling off to HPT?
TomO'Brien: Well, there's a couple of things there. Yes, there are - the pace of those improvements, not just those that are being sold to HPT, but throughout the portfolio of Travel Centers, has slowed this year versus last year. I think that the question as to whether or not HPT buys an asset that we have - when we improve an asset, a Travel Center that HPT owns, it's really a financing decision to sell to HPT. But that financing decision is colored a little bit like well, if I own an improvement to a site that I don't own, it’s kind of dead money, right? I've got a willing buyer and so long as the numbers work for me, then we'll - we tended to sell to HPT. So those two, the decision to improve and the decision to sell are not necessarily linked. One’s a profit improvement decision and the other - and that’s colored this year in particular by the notion that we've set our priorities a little bit differently. Or you could see it as, we've got to farm the seeds that we sowed last year, right? That decision to improve is based upon how that gross margin over operating expenses can grow. And the decision to sell is a financing decision. So they’re not necessarily linked.
Bryan Maher: Okay. Thank you.
Operator: Your next question is from Benjamin Brownlow with Raymond James. Please go ahead.
Benjamin Brownlow: Good morning, Tom. On the 49 acquired, the convenience stores that are not in a same site base right now, can you touch on how many of those you still have left to basically have plan structural revisions on those stores and the timing around completion on those?
TomO'Brien: I think that by and large, the structural things, and if you’re talking about structural - I assume you're talking about the building and the rebranding.
Benjamin Brownlow: Correct.
TomO'Brien: By and large, those …
Benjamin Brownlow: Things that would lead to a closure.
TomO'Brien: Oh, yes. By and large, those things are - if there's a dozen left, I'd be surprised. We're getting into the tail end. What we are dealing with is things that relate to marketing and addressing the competitive set and presenting the consumer with our offer and an offer that is complete. So it includes the integrated loyalty program, both ours and that of the fuel brand that that particular location happens to be. And in some cases, drawing customers back where competition has - at least in some areas where competition has drawn them away. And we think that's possible. It isn't the best set of circumstances to be revamping your offer just as a brand new site opens not too far away. It makes it easy for that - easier for the new site to track to your customers. But I think that that is a situation that we can address and correct. It takes a little while, but ultimately I think it's an opportunity for us.
Benjamin Brownlow: Any color around when you think you'll get those stores exactly how you want them positioned from merchandising standpoint?
Tom O'Brien: I think we're pretty close. I think that - first you set it up and then you’ve got to get people in. and so it's really more about how we face the customer, how to draw them in, what promotions to run, how you operate, how you keep your site clean, inviting and lighted and present that value offer to the customers. I think most of the merchandising stuff is behind us. Now, it's a never ending process, right because consumer tastes change all the time. Your competitors either - if on a good day they see what great things you're doing and they copy you, and on a bad day you copy the great things that they're doing. So it's constantly evolving. It's a never ending struggle but by and large, I think the heavy lifting with regard to the construction projects and the rebranding projects is largely done.
Benjamin Brownlow: All right, great. And just one more for me. You commented, you haven't really seen a big, drastic change in the competitive landscape. And kind of balancing that with the impairment charge and the overall comments of a slightly elevated landscape in terms of competition, is it one competitor or is it just the broader backdrop? Can you just give a little bit of color between those two comments?
Tom O'Brien: Yes. That’s a good clarifying point. I think when I was asked earlier about the competitive landscape, really I took it to be in the context of the Travel Center business. And Travel Center business is 90% of our margin over operating profit. And within that context, the - one of our Travel Center competitors had an investment by their notorious investors shall we say and it was in that context that I answered that question. We haven't seen much in a change in how those - our two big Travel Center competitors have approached the market. Now, that is in contrast to some of the things that we've seen in the convenience store business though. You’ll recognize that we have a lot more competitors in the convenience store business, some of which are many, many times larger than us. But we have a lot less markets, right? And we are talking about a much smaller number as a percentage of our total. There are pockets in our convenience store business where there have been some pretty aggressive new builds opening. We’re starting to see, and I think others in the industry are starting to see new build activity drop off a little bit. That’s not to say it won't start up again, but for the most part, in the markets that were affected for us, I think we've seen the bulk of the new build activity is behind us, and it's just a matter of recapturing.
Benjamin Brownlow: Okay, great. That's helpful. Thank you. Our next question is a follow up from Bryan Maher with B. Riley FBR. Please go ahead.
Bryan Maher: Hey Tom. Just to follow up. How do you reconcile in your head where you trade in the marketplace on a multiple basis relative to C-stores which traditionally kind of trade in that nine to 12, 14 times EBITDA level, and yet - and they're a dime a dozen in many markets. It’s two million bucks and an acre, an acre and a half of land versus 25 acres and $20 million plus and nearly impossible permitting from a truck stop standpoint. How do you get your head around your valuation? Because I’d did pulling my hair out if I was you. What little I have left, you know.
Tom O'Brien: There's a couple of things. I think that in any one of these scenarios or analysis, first - and I'd be remiss if I didn't point this out and admit to it, we do have more leverage than most of our C-store competitors, right? And there is something in any stock price analysis to that. But that aside, I think that perhaps what you're seeing, for us more than others is we don't have peers, right? And that means it's difficult for you and Alvin and Ben, as smart as the three of you guys are, to understand what our business is and understand what the drivers of that business are. And that translates into difficult to compare relative values between us and the available universe, whether they be C-store companies or restaurant companies or what have you. And so I think there's a little bit of that. I do believe that folks ultimately will get paid for hard work. And I'm sorry that this is hard work, but it is what it is. Those are the two big things that I think are in the anomalies that you see.
Bryan Maher: All right. Thanks.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Tom O’Brien for any closing remarks.
Tom O'Brien: Well, that's all I have, other than thanks for joining the call and we’ll see you after the fourth quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect